Operator: Good morning everyone and welcome to the Wright Express Corporation third quarter 2008 conference call. There will be an opportunity for questions after the prepared remarks. (Operator instructions) Today's call is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over to Steve Elder, Vice President of Investor Relations. Please go ahead, sir.
Steve Elder: Good morning. With me today is our CEO, Mike Dubyak, and our CFO, Melissa Smith. The financial results press release we issued earlier this morning is now posted in the Investor Relations section of our website at wrightexpress.com. A copy of the release has also been submitted as an exhibit to an 8-K we submitted to the SEC. We'll be discussing non-GAAP metrics, specifically adjusted net income, during our call. Please see Exhibit One included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I'd also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release, most recent Form 10-K and other SEC filings. While we may update forward-looking statements in the future, we specifically disclaim any obligation to do. You should not rely on these forward-looking statements after today. With that, I'll turn the call over to our CEO, Mike Dubyak.
Mike Dubyak: Good morning, everyone. And thanks for joining us. We hit the low-end of our revenue range for revenue and guidance this quarter but getting there was more difficult than we expected. Credit loss was in line with our internal forecast and our operating expenses came in lower but what really affected us this quarter was the economy and the more pronounced slowdown in fuelling volume that we began seeing in early July – I’m sorry early August. For more than a year now, existing fleets have been adjusting to the weakening economy by cutting back on the number of vehicles they operate and by driving fewer miles, which reduces their fueling activity. This accelerated in the last two months of the third quarter as economic conditions deteriorated. And it was evident across most of our SIC codes and market segments. Although overall fueling volume for the third quarter was up 1% year-on-year it still fell well short of our internal projections. Even MasterCard spend and revenue – MasterCard spend and revenue from late fees came in lower than we expected and all told this cost roughly $0.07 per share in earnings. This was partially offset by the impact of lower compensation expense and higher fuel prices in the quarter. In spite of the rapid falloff in the economy we were on target in our projections for credit loss. As we said in our last call we are seeing an increase in customer bankruptcies and slower payment on past due accounts. The performance of our receivable portfolio in the third quarter was consistent with our internal projections at roughly 20 basis points of fleet credit loss. Given the further deterioration of the economy recently our revised full-year guidance assumes that we will have elevated losses in Q4. We expect credit loss for 2008 will come in several basis points above the high end of our 5-year range of 11 to 22 basis points. Looking ahead, we have taken a number of steps over the past few months to reduce our customer credit risk. These action is should help control risk to our loss rates in 2009. I will talk about some of these measures later on. Before going any further, I will speak to the credit market concerns that are so pervasive right now and legitimately so. I want to emphasize that we have seen no deterioration in the company’s liquidity or our ability to access the capital we need to fund our operations. From a capital structure perspective, we have three and a half years left on our revolving credit facility with rates 100 to 200 basis points better than the current market rates. We had approximately $225 million available to us under this agreement as of the end of the quarter. On the operational side, we used certificates of deposit issued by our industrial bank to finance our receivables. Demand for CDs remain strong as individuals look for a safe place to put cash. A large portion of our CD portfolio rolled over this quarter, but with the drop-off in fuel prices our financing requirements have been reduced. In addition, our ability to access Fed funds for short term borrowing has not changed. Including CDs and Fed funds our operating debt at the end of the third quarter was down by $105 million from the end of the second quarter and our receivables were down $200 million. Cash flow remained strong this quarter and we used that cash to pay down debt, buyback stock, and acquire FAL for approximately $9 million. In light of the economic uncertainties, we put a higher priority on reducing our leverage, paying down approximately $7 million of financing debt; we bought back of modest $2 million worth of stock in the quarter leaving us with $81 million remaining in our authorization. With that as a background let us take a closer look at the business in Q3. We have already established that fuel purchasing volume is trending down. In the installed base specifically the volume declined both sequentially and year-on-year for the third consecutive quarter to an extent not seen in the past. The next two factors to look at are attrition, to ability to retain the fleets and vehicles in that installed base and front end growth, the number of new fleets and vehicles we add to our base. Fleets are using every tool at their disposal to manage around higher fuel prices and vehicle operating cost, which enhances our customer value proposition. This helps us in terms of both customer retention and customer growth and this was another good quarter for both of these metrics. Our voluntary customer attrition rate remained low at just slightly under 2% which is less than our historic average. We’re continuing to keep our customers satisfied and actively using our cards. Despite the slowing economy, we have been able to maintain a solid new business pipeline in both our direct and co-brand channels and we’re successfully converting the pipeline into new fleet accounts and active cards. This is one of the real strengths of our business model and why it has been so resilient through previous economic cycles. Thanks to our success in acquiring new customers coupled with low attrition we’re continuing to grow although slower than our historical rate. Organic growth and total fuel transactions for Q3 remained in the mid-single digit range increasing 3% from the third quarter last year. Looking at this growth by fleet size, in small fleets the number of vehicles overall declined 1% in Q3 compared to the third quarter of 2007. As in the past few quarters growth in the Wright Express direct channel where average vehicles grew 4% year-on-year was offset by private label where small fleet vehicles were down 4%. Turning to the midsize and large fleet markets the average number of vehicles serviced increased 2% from the third quarter of 2007. We expect to see continued growth in this segment. Near term the business we announced last quarter with the GSA should be fully rolled out by the end of the year with Wright Express processing payments for fuel purchases and vehicle maintenance and providing GSA fleets with accident management services. We have talked for some time about our relationship with Citi. When we initially announced the relationship it encompassed four portfolios with two major oils. At this point we verbally agreed to go forward with only one of the portfolios with one of the oil companies. The major issue in the decision among other was the revolving credit requirement. Revolving credit is a new model for us and financial and regulatory conditions have made it cost prohibitive to build and roll out. We anticipate the portfolio will be on board by the second quarter of ’09. It’ll be fully funded, which is a change from our initial approach with Citi and similar to our other private label portfolios which have no revolving component. So the upfront investment is significantly lower. As a result, although the number of transaction in our Citi relationship will be smaller we expect the overall profitability to be only slightly lower than the original contract. Moving on, the other market we service, heavy truck, where our business consists primarily of private carrier fleets. For the third quarter our heavy truck vehicle count was up 5% from a year ago. While driving growth in our core fleet business we have been executing on a strategy to penetrate markets outside the core business and capturing a larger share of total business penned in those markets. The first of our diversification efforts was MasterCard, which focuses on midsize businesses and the single use account product. MasterCard purchase volume again was up dramatically from a year ago growing 31% from the third quarter last year to $670 million this quarter. Interchange rates are down somewhat due to the shift in mix towards our single used account product. With that I will now turn the call over to our CFO, Melissa Smith. Melissa will take you through the Q3 financials and our guidance for the fourth quarter. Then I will return to wrap up with some thoughts about the outlook for 2009 and beyond.
Melissa Smith: Good morning everyone. As Mike outlined, today’s economic conditions are very different than they were three months ago. In forecasting Q3, our data suggested that volumes trends in July will continue through August and September, which obviously did not happen. Given this decline in volume we took aggressive measures to help manage costs in the business during the third quarter. We are now focused on generating the best possible results in a challenging environment and positioning ourselves for further growth when the economy turns around. This includes finding new opportunities for revenue generation within the installed base of customers, continuing to reduce costs and credit risk, and maximizing the potential for growth in our recently acquired businesses. Looking at our results for the third quarter of 2008 in detail, total revenue increased 24% to $108.5 million from $87.7 million for the third quarter of 2007. Net income to common shareholders on a GAAP basis was $72.3 million or $1.82 per diluted share. This compares with net income of $22.3 million or $0.55 per diluted share in Q3 last year. The company's adjusted net income for the third quarter of 2008 was $21.8 million or $0.55 per diluted share. This non-GAAP figure excludes an unrealized mark-to-market loss on our derivative instruments, as well as the amortization of purchased intangibles. Adjusted net income for the third quarter last year was $22.3 million or $0.55 per diluted share. The average number of vehicles serviced in Q3 2008 was approximately 4.5 million, compared with 4.4 million a year earlier. Total transactions grow 14% in Q3 2008 to $72.5 million from $63.4 million in the third quarter last year. Our transaction growth reflects a combination of the new Pacific Pride transactions and 3% organic growth. Combined with 40% growth in the price of fuel year-on-year these drivers increased fleet revenue by 24% to $101 million. Payment processing revenue in our fleet segment was up 25% to $76.8 million from $61.2 in Q3 last year. This also reflects the increase in the price of fuel. The average retail fuel price was $4.02 per gallon compared to $2.88 in the third quarter last year which bolstered our results for the quarter. The average expenditure per payment processing transaction for Q3 increased 37% from last year to $80.84. The growth in payment processing revenue also reflected a nearly 4% increase in the number of payment processing transactions this quarter. Our net payment processing rate dropped 22 basis points in Q3 2008 from the prior year to 1.71%. About a third of his decrease is due to the impact of a higher fuel prices as our rate declines with merchants with hybrid [ph] contracts as fuel prices increase. The remaining two-thirds reflect higher rebates in our renegotiated rates with some of our larger merchants. By the end of Q3, we had renegotiated with made most of the major oil companies. We now have approximately 55% of our transactions at merchants with hybrid rates. We expect this to increase to approximately 60% by early next year. With the drop in fuel prices recently, we expect to benefit from these contracts by several basis points in Q4. Additionally, we built a lower net processing payment rate into our prior guidance for the second half of 2008. The actual rate for Q3, however, was slightly lower than our projections due to higher level of fleet rebates. We expect to continue to win business in the large fleet market resulting in continued slight declines in our net payment rate. The MasterCard segment contributed $7.5 million in total revenue in Q3, compared with $6.3 million a year ago, which is an increase of 19%. This growth was once again largely driven by MasterCard purchase volume, which increased 31% from $511 million in Q3 last year to $670 million this quarter. MasterCard rebates continue to increase in Q3 reflecting the growth in our single use account product, which typically carries a higher rebate, resulting in declining net interchange rates compared to Q3 last year. We continue to expect strong revenue growth in MasterCard going forward. Turning now to operating expenses, on a GAAP basis, the total for Q3 was $54.1 million. This compares with $44.7 million in the third quarter last year. Salary and other personnel costs were $14.6 million in the quarter, down $1.6 million from last year. Our average headcount for Q3 was 733, compared with 687 last year. 43 of the 46 additional positions resulted from our acquisitions over the past year reflecting the decline in fueling volume and our expectations for Q4 results, we did not recognize any expenses for bonuses or stock compensation related to performance share of units in Q3. We also reversed our prior accruals. Together these actions provided a total benefit of approximately $3.5 million compared to our expectations for the quarter. Service fee are up this quarter $1.2 million. The fees we paid for processing MasterCard transactions are up about $500,000 in line with the increase in spend volume. In addition professional fees are up about $400,000 for legal and consulting fees related to an investigation of additional market opportunities and by $200,000 related to Pacific Pride. Our Q3 credit loss on a total basis, including both fleet and MasterCard, was up $6 million from last year to $9.3 million. As Mike said earlier, our credit losses on the fleet segment came in where we projected at 20 basis points. This is 9.4 basis points higher than we reported a year ago. As business-to-business card providers we’re seeing an erosion in credit quality but it is not as pronounced as the trend in the consumer segment where our express cards or charge cards not revolving credit cards and we charge a late fee if not paid on time. That is why the vast majority of customers have continued to pay us on average in less than 30 days. As we reported in last quarter’s call, the increase in losses is driven by a small percentage of balances that are aging into delinquent categories. As the economic climate deteriorated most customers experienced liquidity concerns and cash flow shortages leading to an increase in charge offs. We factored this into our projections for the fourth quarter as well as the impact of elevated gas prices earlier this year. As a result, we believe credit losses will exceed our five year range of 11 to 22 basis points by several basis points for the full-year 2008. Depreciation and amortization expense is up $1.3 million over last year due to $900,000 in amortization related to our acquisitions and $400,000 for assets placed into service. Operating and interest expense for the third quarter increased by $400,000 from Q3 a year ago to $9.6 million. Although higher fuel prices increased the average operating debt level to $750 million, which is up 29% on average from last year, the increase in debt was offset by a reduction in rates. For the quarter, our interest rate on certificates of deposit in Fed fund borrowings declined approximately 20 basis points from Q2 to 4.06%. We are down nearly a 100 basis points from the first quarter. Mike mentioned the rollover in our CD portfolio in Q3. Approximately $187 million or one-quarter of the portfolio matured during the quarter with a weighted average rate of 4.2%. With the recent decline in fuel prices our financing requirements will be lower. So we anticipate our operating debt balances will down in Q4. Our effective tax rate on a GAAP basis was 33.2% for the quarter, compared with 36.6% for Q3 a year ago. Our adjusted net income tax rate this quarter was 19.9% compared with 36.6% for Q3 2007. As you’ll see reflected on the income statement this quarter we also made an adjustment to the basis of our deferred tax assets and the related liability to our former parent company. The net change of the decrease of our tax expense and decrease to other income was approximately $600,000 negative. These adjustments represent a change in the company’s estimated future tax rate of less than two tenths of 1%. We expect to report similar swings both up and down as we adjust our estimated tax rate going forward. Since these are not operating items, we will begin to exclude these impacts related to the tax agreement with our former parent company when calculating adjusted net income in 2009. Without these changes due to our tax receivable agreement we expect our full-year tax rate to be just under 38% for adjusted net income. Turning to our derivatives program, during the third quarter we recognized a realized loss of $16.3 million before taxes on these instruments and an unrealized gain of $82.4 million. With the dramatic decline in oil markets as of today we now have a derivative asset of $25 million. At this point we have hedged our targeted 90% of our estimated fuel price related earnings exposure for 2009 and we partially hedged the first three quarters of 2010 working towards an objective of hedging 80% of our estimated fuel price-related earnings volatility for that year. The weighted average price for 2009 is between $2.79 and $2.84. For the portion of 2010 that we have completed, our average price is $3.45. However, assuming the oil market stays roughly where it is today this will come down as we continue to roll in new purchases. Due primarily to higher fuel prices at the end of the third quarter compared to year end our accounts receivable balance net of reserves for credit loss increased to $1.4 billion from $1.1 billion at December 31st. Our financing debt balance decreased from $7 million from approximately $219 million at the end of last quarter to $212 million at the end of Q3. This reflects the acquisition of FAL, share repurchases offset by cash flow generated. We concluded Q3 with a leverage ratio of approximately 1.3 times. We continue to target leverage between 1.5 and 2.0 times for the long-term and we will allocate our free cash flow to its best use, whether it's debt pay down, share buybacks, acquisitions or internal reinvestment. However, given the current economic conditions and the premium on liquidity in today’s markets our leverage will likely remain below these levels for the short term. Capital expenditures were $3.7 million for the third quarter, reflecting continued reinvestment in our core product offerings and strategic diversification. We made it a priority to reduce these expenditures wherever possible and for 2008 as a whole we anticipate that total CapEx will come in between $18 million to $19 million in 2008. I'll conclude with some major assumptions and our revised financial guidance for the fourth quarter and full year 2008. First and foremost is the assumption that the economy will remain very challenging which will continue to constrain fleet fuelling activity. We also anticipate that charge-offs will increase and there’ll be some erosion in the credit quality of our portfolio bringing our credit loss to approximately 40 basis points depending on fuel prices. The decreased activity levels we saw particularly in August and September have continued in October. We expect activity to remain at this low level for the remainder of the fourth quarter. We have also factored in the significant drop in fuel price which is about a dollar compared to the last time we gave guidance into our Q4 revenue projection. Our hedge will buffer the majority of our impact to earnings but this is a significant decline even though we’re approximately 90% hedged there will be several cents of earnings impact to the quarter. Let me remind you that our forecast for the fourth quarter and full-year 2008 are valid only as of today and are made on a non-GAAP that excludes the impact of non-cash mark-to-market adjustments and the company’s fuel price related derivative instruments and the amortization of purchased intangibles. Although our share repurchase program remains in place we have not included in any potential EPS upside from this. The fuel price assumptions are based on the applicable NYMEX futures price. For the fourth quarter of 2008, we now expect to report revenues in the range of $81 million to $87 million. This is based on an average retail fuel price of $2.90 per gallon. For the full year 2008, we now expect revenues ranging from $394 million to $400 million based on an average retail fuel price of $3.54 per gallon. As for earnings, for Q4 of 2008 we expect to report adjusted net income in the range of $14 million to $15 million, or $0.32 to $0.37 per diluted share. We now expect adjusted net income for the full year 2008 in the range of $75 million to $76 million or $1.86 to $1.91 per diluted share on approximately 40 million shares outstanding. I will now turn the call back over to Mike.
Mike Dubyak: Thanks Melissa. We’re facing some of the toughest and most uncertain macroeconomic conditions of our life times and our guidance for fourth quarter takes this into account. Our challenge for this quarter and for 2009 is to continue to perform every lever we can to reduce costs and drive top line growth both for the short and long term. Taking the cost side of the equation first, as we saw our business slowing several quarters back we took early action by adjusting our hiring plans and not adding 60 new positions that we had budgeted for the year. That in early October we restructured our field sales operation and streamlined several other functions eliminating 53 additional positions across the company. The number of employees who actually left was 29. Since some of the people whose jobs were eliminated were assigned to other positions in jobs we recently created to service the GSA fleet business. Severance and other related expenses for the employees who are no longer with the company will result in a one-time charge of approximately $300,000 in the fourth quarter which is included in our guidance. We expect the reorganization to generate approximately $4 million in annual savings going forward. In terms of credit loss, we expect that 2009 will continue to be a challenging environment for losses. We have taken a number of steps to reduce our risk exposure in ‘09. For example, we have reduced the credit lines available to higher risk fleets and although they are a small part of our portfolio, we are now requiring that all new over the road truck fleets pay us no less than weekly as opposed to monthly for the other customer segments. With these and other measures we have taken we feel better about the outlook for credit loss in ’09 than our expectations in the fourth quarter of ’08 would indicate. We will also see some benefit from hedging and higher prices next year. The top end of our collar that we have locked in for 2009 is $0.24 higher than the top end we locked in this year. Our weighted average price for 2008 was $2.60 and as Melissa said prices for 2009 are between $2.79 and $2.84. Looking at the top line, we have the potential to drive more revenue through our installed base by changing the way we charge late fees and by raising overnight delivery fees among other items. These changes are in line with the competition. In addition, we will have the GSA fleet business on board for the full year and the Citi portfolio will roll out during the first half of next year. Looking ahead longer-term the new international component of our business is also gaining traction. In summary, we clearly face challenges with the impact of the slowing economy on fueling volume and bad debt, but we believe in the sustainability of our business model. We are continuing to perform well operationally and our liquidity position remains strong. I am confident in our ability to mange through the near term market turbulence and in our prospects for growth and success in the long-term. With that we will be happy to take your questions. Operator you can proceed with Q&A now.
Operator: (Operator instructions) Our first question today comes from the line of Greg Smith with Merrill Lynch. Please proceed with your question.
Greg Smith – Merrill Lynch: Yes. Hi, good morning guys.
Mike Dubyak: Good morning.
Greg Smith – Merrill Lynch: Just hoping to get some color on your CDs, where the rates that you are having to pay are falling sort of versus expectations just considering you know is there more – heavy demand but is there more competition. Just a little confused where those rates maybe falling down?
Melissa Smith: The rates we said were about 4.06% for the last quarter. The new CDs are between 3 and 4% depending on the maturity. I mean so there is definitely availability but we haven’t really seen a decline in rates.
Greg Smith – Merrill Lynch: Who are the – how do you actually sell those CDs and who are actually the buyers?
Melissa Smith: We go through brokers and so we have a series of brokers, a half of dozen or so that we work with and they are selling to individuals.
Greg Smith – Merrill Lynch: Okay. So they are brokered and then it is individual buyers.
Melissa Smith: Yes.
Greg Smith – Merrill Lynch: Okay, and then Melissa with the charge-offs do you have a rule of thumb on just every 5 basis points of additional charge-offs what that does to EPS, or every 10, just some sensitivity there?
Melissa Smith: Yes, yes it is roughly 1 basis point charge-off equals $0.02 of earnings for the full year.
Greg Smith – Merrill Lynch: $0.02 for the full year. Okay and then if you were to roll your next hedge if you were to do it today, do you know where the prices are roughly?
Melissa Smith: The prices are a little bit above 250 right now for 2010.
Greg Smith – Merrill Lynch: Okay great. Thank you.
Operator:
Tien-Tsin Huang – JPMorgan: Thanks. So, I guess my question – one question, let me ask the $0.07 shortfall that you called out in your prepared remarks. Can you break that down for us again? I didn’t quite catch exactly what drove the $0.07.
Melissa Smith: It is really volume. So, when we went into the third quarter as both Mike and I said we have looked at volume trends in the month of July, August and September trailed off lower than what we had anticipated by a couple of percent to 3% from what we had expected and that is driving the majority of that. We are also a little bit off on late fees in MasterCard which again we are trying to alter this. It seems to be driven by what is going on overall in the economy.
Tien-Tsin Huang – JPMorgan: (inaudible) in the payment processing rate and where that came in with all the rebates. Hope that wasn’t much of a contributor?
Melissa Smith: No, no. We had said on the call, on our last call that we had anticipated renegotiating those rates and so it was very close to what we had expected. It was off a little bit because of the rebate. We are slightly higher than we expected but that wasn’t a material driver to the quarter.
Tien-Tsin Huang – JPMorgan: Okay, so it is really just the volume trends and somewhat the late fees on MasterCard.
Melissa Smith: Late fees and mix on MasterCard.
Tien-Tsin Huang – JPMorgan: The mix on MasterCard. Maybe if I just sneak a follow up then. And just the visibility into the payment processing rate in the fourth quarter and also like Greg asked maybe a (inaudible) given the restructuring every $0.15 change in stock prices. What does that equate to in terms of the payment processing rate?
Melissa Smith: The first part of your question. We have renegotiated with majority of the oil companies and we have reflected majority of that in our rate in Q3 and so we think actually that we are going to benefit because of the price of gas is dropping obviously and so we think that the rate with the merchants will actually go up a little bit sequentially in the fourth quarter because of that and we will see continued pressure we think on rebates as we continue to add large fleets, but the bulk of the pricing we think has been reflected already.
Operator: Thank you. Our next question comes from the line of Robert Napoli with Piper Jaffrey. Please proceed with your question.
Robert Napoli – Piper Jaffrey: Thank you. Maybe follow up on Tien-Tsin’s question on the payment processing rate and kind of the outlook for the payment processing rate assuming that oil prices stay and gas prices stay generally where they’re at today. You mean you said that you expect to see that rate move up slightly in the fourth quarter from the reported rate in the third quarter and then would you expect to see that rate be stable then assuming no adjustments in oil prices for next year and then we would expect it to go up if oil prices decline and go down if oil prices increase?
Melissa Smith: We think that we have factored in most of the changes with the merchants. And we have got a little bit more negotiating to do. We said we have got about 55% locked in these hybrids and we think we will get to about 60% by the first quarter of next year to a little bit more. But we have to negotiate. So we think the rate with the merchants is relatively stable and that is just a question of the rebates to the fleet and that is going to be something we’re going to continue to see pressure with over time but it’ll be similar to what we have seen historically.
Robert Napoli – Piper Jaffrey: Shouldn’t the pressure with oil at 66 versus 130 be dramatically less and?
Melissa Smith:
Robert Napoli – Piper Jaffrey:
Mike Dubyak: What I was trying to say was that we put in new credit risk management programs that I think put us in a better place going into next year than if you would when we entered this year. I don’t think we’re trying to say that we have a good crystal ball on what the economy is going to do to the overall a risk of bad debt but at least our controls and some of the things we have done to tighten up the credit risk side of our business at least puts us in a better place. From a positioning standpoint, I don’t think we’re sitting here today saying that overall we’re projecting bad debt next year in some fashion for ‘09.
Melissa Smith: We do know that sequentially the Q4 and Q1 tend to be higher for us and we have definitely seen that pattern this year. And assuming from what we do have for visibility into next year we would presume that you would see a similar pattern to the first quarter of next year. But some of the 40 basis points is driven because the numerator is declining as fuel prices dropped. I’m sorry the denominator as fuel prices drop.
Robert Napoli – Piper Jaffrey:
Mike Dubyak: With the current period’s PPG [ph].
Melissa Smith: The charge-offs were going to be coming through from about 120 to 150 days ago and so that will be on elevated fuel prices. And so that is also impacting the fourth quarter.
Robert Napoli – Piper Jaffrey: Thank you.
Operator: Thank you. Our next question comes from the line of Patrick Burton with Citigroup. Please proceed with your question.
Patrick Burton – Citigroup: Hi, good morning. I guess my question is that as you go through this difficult environment. What are the opportunities to gain market share from some of your weaker competitors. So when we come out someday on the other end of this you have got a lot of leverage in the business. Thanks.
Mike Dubyak: I think we’re continuing to see strong growth in our pipelines. Unfortunately, what is offsetting that as we have talked about is the installed base that is slowing but even our realignment was to make sure that our sales force now have more of a synergistic capability of selling the MasterCard together with the fleet card and then looking also across all of our diversification strategies of gees of TelePoint and WEXSMART. So all of that I think all will give us some lift, but I think the biggest thing is with our liquidity capabilities I think we want to be smart to say if there are opportunities that present themselves to us during this period we want to make sure we can take advantage of that. We think that it will be difficult times for companies and if we have the ability that can really help us in the future we will take advantage of that situation if possible.
Patrick Burton – Citigroup: Just a quick sneak in follow-up, Mike aren’t some of your competitors owned by private equity companies if I recall that they may have some very significant financial leverage?
Mike Dubyak: They do. Two of our competitors are owned by private equity players.
Patrick Burton – Citigroup: Okay, thank you.
Mike Dubyak: You bet.
Operator: Thank you. Our next question comes from the line of Timothy Willi with Avondale Partners. Please proceed with your question.
Timothy Willi – Avondale Partners: Thanks. I know you haven’t given ‘09 guidance, obviously you have given us fourth quarter of ‘08 but I’m just wondering qualitatively if you could talk about what you think will be the more important variable over the next three to four quarters, will it be volume or credit losses in terms of what you guys expect to be probably the bigger driver over the next several quarters of earnings?
Mike Dubyak: I think they both will but we want to make sure on the volume side we have talked about the fact that the differences next year would be things like the GSA being there for the full year, looking at the Citi capability coming on in the first half of next year as well. So I think those are some of the changes to next year but clearly the slowdown we have seen in the embedded base, we’re assuming will continue and we’re assuming that there’ll be continuing to be pressure on bad debt as well.
Timothy Willi – Avondale Partners:
Mike Dubyak: It is the smaller one and the change is we moved it over to a funded program. So that is what we talked about, it’ll give us a little bit of lift on revenue for that portfolio and won’t be as much of an impact to the bottom line for us because it is a funded program.
Timothy Willi – Avondale Partners: Okay, thank you very much.
Operator:
Anurag Rana – KeyBanc Capital Markets: Hi good morning. Melissa this question is just about the cost, the salaries and the other personnel cost down sequentially about 3.7 million. You know in the fourth quarter should we look at similar run rate in salary and other personnel expense and I think I heard Mike talk about a reduction of overall expenses around $4 million for next year. Is that off of a base of $14.5 million or the $18 million that we saw in the second quarter?
Melissa Smith: Okay. There are about $2.5 million dollars of compensation charges in Q3 that we reversed from prior periods and so that is something that is going to be unique to Q3. So would need to reflect that in anything you are projecting going forward. The $4 million that Mike talked about is all from our previous run rate. So that wouldn’t apply to that reduced base mostly because of that one-time charge.
Anurag Rana – KeyBanc Capital Markets:
Melissa Smith: We intend to give guidance for ‘09 on our next call. So I can’t give you a range right now. Obviously we’re spending a lot of time looking at 2009 and I think Mike gave a bunch of the highlights and we know we have got some uncertainty around credit loss. We know that the fourth and first quarter are typically higher and that is seasonal. We haven’t seen a significant decline in credit quality. So the good indicator is underneath when you actually start dwelling into the portfolio itself. So you are seeing minor erosions within that base but not anything that is a wholesale change and as Mike said you know looking at volume trends continuing from the fourth quarter into next year. And so we’re paying attention to try and reduce costs and adding new sources of revenue that we haven’t seen in the past to try to offset some of the uncertainty.
Anurag Rana – KeyBanc Capital Markets: Thanks and just one more. Could you give us any idea about free clash flow estimate for 2008? Thanks.
Melissa Smith: All right. Free cash flow estimate I would still put it roughly in line of – with our ANI guidance. We haven’t had any significant changes between depreciation and our CapEx estimates.
Anurag Rana – KeyBanc Capital Markets: Thanks.
Operator:
Tom McCrohan – Janney Montgomery Scott: Yes hi. Just trying to get a read on the charge-offs for this quarter. What was the dollar amount of net charge-offs in Q3?
Melissa Smith: It is not something that we have disclosed yet.
Tom McCrohan – Janney Montgomery Scott: If you take the – based on it looks like it got better based on sequential change in reserve levels that you reported. You can kind of – you can back into it with the change in reserves at the end of the quarter was $16.4 million in reserves (inaudible) net charge-offs given the provision for the quarter and it looks like charge-offs on a net basis were down to like $7.8 million.
Melissa Smith: Charge-offs as they have generally increased a little bit sequentially. We haven’t seen a huge change between Q3 and Q3. We are digging in through the numbers, but there wasn’t a significant change up or down if you are looking at it sequentially. We do anticipate it sequentially being a little bit higher in Q4 and that is as I said before somewhat driven based on fuel prices earlier in the year, you are starting to hit the periods when they were really elevated in Q2. And so that is driving some of the increase and some of that is just the people on the phone that are talking to our customers are having a little bit harder time collecting on some the most delinquent accounts.
Tom McCrohan – Janney Montgomery Scott: Are there any significant recoveries during the quarter?
Melissa Smith: Definitely there were recoveries, yes. Not a wild change though in the amount that we’re recovering.
Tom McCrohan – Janney Montgomery Scott:
Melissa Smith:
Mike Dubyak: And the fuel price is on the unhedged portion she is talking about.
Tom McCrohan – Janney Montgomery Scott:
Melissa Smith:
Tom McCrohan – Janney Montgomery Scott: Thank you.
Operator:
Robert Dodd – Morgan Keegan: Hi guys. Going back to kind of the payment processing rate and the sensitivity to fuel prices how that affects the hedging program? Obviously, with negotiating more flat fee into the rate with your customers, you have reduced your sensitivity but the hedge was put on – most of the hedges that are going to affect in the next couple of quarters were put on well before those prices were renegotiated. Was the change in sensitivity of earnings, was it part of a longtime plan to renegotiate those prices and so it was built into the hedge or we’re going to have an increasing mismatch with the presumed hedge sensitivity being much more than the actual sensitivity in the fuel prices for the next couple of quarters.
Melissa Smith: We had presumed to when we were doing the hedge purchases that we would layer in more hybrid contracts in this year. And so we have got questioned in the past on why the number of gallons we are hedging are actually declining and that was because we would foresight into the fact that we did anticipate going through this type of a contract.
Robert Dodd – Morgan Keegan: Just (inaudible) did you expect to be in the position you are now or did you factor in going from a third fixed fee or a third hybrid to 50% or 60% I mean basically, I mean is it exactly in line with what you are looking for – or is there some difference?
Melissa Smith: It is very close to what we expected.
Robert Dodd – Morgan Keegan: Thank you.
Operator:
Ben Cadlac – First Investors: Hi how are you. Question on the GSA and Citi, can you give us an idea may be off the quarterly revenue and earnings benefit you know on a normalized level for ’09 with each of those we provide or your kind of your base revenue and earnings in the fourth quarter or this quarter?
Mike Dubyak: I can give you some of the information to kind of benchmark what this is going to do in terms of transactions and total fuel transaction growth to Wright Express. The GSA, for example, is about 250,000 vehicles about $7.5 million fuel transactions and another $1.5 million non-fuel transactions. So that will increase our vehicles by about 5% in transactions about 3% to 4%. And I think you can probably then factor that in. On Citi there will be about 100,000 vehicles that will come on as we said probably in the first half of the year. There is approximately 4.5 million transactions and the annual revenue depending on the price of the gas would be in the range of $4 million to $5 million.
Ben Cadlac – First Investors: Okay. And then on – any other sort of large contracts like that in (inaudible) currently?
Mike Dubyak: There is nothing else that, you know, we can say as mature enough to talk about.
Melissa Smith: Not at that size.
Mike Dubyak: Not at that size.
Melissa Smith: I only thing I would add to that on the GSA is that their average transaction size is a little bit smaller than we are used to as an average fleet just because of the vehicle mix that they have.
Ben Cadlac – First Investors: Okay. So – and then do you have an idea of I mean how many more I guess the rate of increasing market share on the smaller transaction size you sort of look to your pipeline and deals on that?
Melissa Smith:
Ben Cadlac – First Investors: Yes.
Mike Dubyak: And I think there continues to be spread. I mean we continue to have good success with our inside sales organizations that brings in small fleets. We still have good success with our outside sales force bringing in the midsize fleets and then we have a sales force focused on very large elephants like the GSA but there aren’t many of those out there. So the pipeline is pretty robust across all fleet sizes and even – you know, even MasterCard has had a good strong October and we continue to see that as a growth opportunity.
Operator: Thank you. Ladies and gentlemen the next question comes from the line of Robert Napoli with Piper Jaffrey. Please proceed with your question.
Robert Napoli – Piper Jaffrey: I was hoping you’ll give an update on the progress you have made on the international business with the acquisition and what your strategy is for that piece of the company.
Mike Dubyak: Yes it is too early to talk about anything specific but the strategy has been that we want to use this to be a processor and operator for international portfolios for the major oil companies that are now managing their business on a worldwide basis. So the heads of these businesses are managing worldwide where in the past they used to be silos [ph] in the different continents which gives us the ability to hopefully leverage the relationships we have built in North America and the strength we built in North America with our brand and reputation. So we’re having good robust discussions. We feel very good about the progress but beyond what we are servicing today in the Asia Pacific market there is nothing more that I can talk about specifically.
Robert Napoli – Piper Jaffrey: I mean do you see the opportunities as more or less, what I mean, how it is – 5 years now how significant as a piece of your business would you like it to be, or something in that regard?
Mike Dubyak: Yes I don’t think we have given guidance on that but we clearly see it being, you know, it is going to take till 2011 and 2012 before it becomes really meaningful but I don’t know. We don’t have meaningful revenue probably (inaudible).
Melissa Smith: I think if you look at that, just the size of opportunities out there we’re excited about the potential. It is just in the long-term arrangements and so that’ll even take a few years to even get the contract in place.
Mike Dubyak: In some of the negotiations could be anything from just being a processor using our new system to fully operational to where we might fund receivables. So the revenue streams will vary depending on which one of those three are in place for some of these major oils.
Robert Napoli – Piper Jaffrey:
Mike Dubyak: We feel very comfortable with addressing the needs of the major oils that we have talked about. The platform is what we need to be successful. Could there be opportunities just to enhance the overall value proposition we offer these majors and fleets. That is a possibility for acquisition but the basic FAL platform gives us what we need to penetrate that international market.
Robert Napoli – Piper Jaffrey: Okay, thank you.
Operator: Thank you. Ladies and gentlemen, our next question comes from the line of Timothy Willi with Avondale Partners. Please proceed with your question.
Timothy Willi – Avondale Partners: Thank you. A follow-up on credit, I can’t remember if you said it or not but are your delinquency rates still generally running at about 1% of volume?
Melissa Smith: Yes our hedging is about 98% current, which is a little bit over 98% which is actually in line with Q3 of last year.
Timothy Willi – Avondale Partners: Okay so no real change there in terms of aggregate. And then second is – obviously you got a very large installed base by just thinking sort of forward for the company longer term is there anything you are seeing now in terms of the underwriting or selling process with new accounts in terms of managing credit risk more effectively to ensure tighter underwriting on a go forward basis with new accounts being more selective. I think you have learned from people that are having problems that you identify on the front end and say this is not the kind of customer you want to be selling to because there is a higher risk of loss under financial restraint. Anything like that?
Melissa Smith: Yes I actually give you a bit of a lengthy answer back. We also go through and post mortem our losses that are greater than $25,000. It has been something we have done as a practice and obviously there is more of them now. And so based on that we are continuously evaluating our credit policies to see if we should make any changes. The most significant change we have made is with the heavy truck market which is a very small percentage of our portfolio but has driven the higher percentage of losses than the size of the customer base. And so we’re requiring people to pay us quicker now. We have also gone through and looked at the risk rating of the portfolio and pulled back credit lines with the riskier of the accounts. Our approval rates in general are down almost 10% actually a little bit over 10% compared to last year and so there has also been a whole host of things that I would say actions we have taken in order to make sure that we are limiting our exposure as much as we can.
Operator: Thank you ladies and gentlemen. Unfortunately we have reached the end of our allotted time. Therefore, I would like to turn the call back to Mr. Elder for any closing remarks.
Steve Elder: That concludes our call today and we thank you for joining us.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may disconnect your lines at this time. Thank you for your participation.